Operator: Good morning, and thank you for joining us for Marine Products Corporation's First Quarter 2014 Earnings Conference Call. Today's call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. [Operator Instructions] I'd like to advise everyone that this conference call is being recorded. 
 Jim will get us started by reading the forward-looking disclaimer. 
Jim Landers: Thank you, Alan, and good morning. Before we get started today, I'd like to remind everyone that some of the statements that we will make on this call may be forward-looking in nature and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today, our 2013 10-K and other SEC filings that outline those risks, all of which are available on our website at www.marineproductscorp.com. If you have not received our press release for any reason, please visit our website, again, at www.marineproductscorp.com, for a copy.
 We will make a few comments about the quarter, and then we'll be available to answer your questions. Now I will turn the call over to our President and CEO, Rick Hubbell. 
Richard Hubbell: Jim, thank you. We issued our earnings press release for the first quarter of 2014 this morning. Ben Palmer, our CFO, will discuss the financial results in more detail in a moment. This time, I will briefly discuss our operational highlights.
 Our net sales increased by almost 8% during the first quarter. Net sales improved due to higher average selling prices and higher parts and accessories sales. We sold a lot of the 307 SSX Sportboats, which were new for the 2014 model year; more 21-foot Chaparral H2Os than last year; as well as more Robalos, which carry higher average selling prices. Gross margin improved because of this better model mix, as well as improved operational efficiencies.
 Our Chaparral sterndrive brand continues to hold the #1 market share in its category. The latest available data through the 12 months ending December 31, 2013, indicate that Chaparral had a 13.8% share of the 18- to 35-foot sterndrive market.
 We've produced and sold our first Vortex jet boats during the first quarter, and they were well received by our dealers. We will introduce 2 larger models in the coming quarters and increase production of all the Vortex models during the 2015 model year.
 We also announced this morning that our Board of Directors yesterday voted to pay a regular quarterly dividend of $0.03 per share.
 With that overview, I'll turn it over to our CFO, Ben Palmer. 
Ben Palmer: Thank you, Rick. For the quarter ended March 31, 2014, we reported net income of $2 million, an increase of 36.5%, or slightly more than $500,000, compared to $1.4 million in the first quarter of 2013. Our diluted earnings per share for the quarter were $0.05, compared to earnings per share of $0.04 in 2013.
 In the first quarter of '14, we benefited from a favorable model mix. Our average selling price increased because we sold some larger Chaparral SSX Sportboats and H2Os, and as in previous quarters, Robalo sales remained strong.
 The first quarter's model mix was comprised of boats that were higher priced and more profitable. Our Chaparral unit sales declined slightly during the first quarter as compared to the prior year. Increased sales of the larger Chaparrals and Robalos also contributed to higher parts and accessories sales during the first quarter.
 Rick mentioned that we sold our first Vortex jet boats during the first quarter. And we're pleased with the initial sales of this new product, but I will note that these sales did not contribute materially to our net sales or profits during the current quarter.
 Gross profit in the first quarter was $8.8 million, an increase of 24.3%, compared to the first quarter of last year. Gross margin during the quarter was 18.5%, compared to 16.1% last year. The increase in gross margin was generated by our improved model mix and the operational efficiencies achieved during the quarter.
 Selling, general and administrative expenses increased by 7.6% in the first quarter, compared to the prior year and were 12.7% of net sales, the same percentage of net sales in the first quarter of '13. These costs increased due to costs that vary with sales and profitability, including incentive compensation, our sales commissions and warranty expense.
 The U.S. domestic net sales increased by 12.6% in the first quarter of 2014, compared to the first quarter of last year, while international sales declined by 9.7%. International sales comprised 18.4% of consolidated net sales in the first quarter of this year, a decrease compared to 22% of consolidated net sales last year. This continues a trend of declining international sales as many countries continue to experience struggling economies.
 Interest income during the first quarter was $122,000, a slight decrease compared to $149,000 in the first quarter of 2013.
 Marine Products income tax provision was $912,000, compared to $172,000 in the first quarter of 2013. This effective tax rate of 31.6% is significantly higher than the effective tax rate during the first quarter of '13, as it reflected a benefit from research and experimentation credits for both the first quarter of last year and the full year of 2012.
 As of the end of the first quarter of 2014, this federal tax credit has expired and has not been renewed. And as far as we know, it will not be renewed. We believe that our effective tax rate for the full year of '14 will be comparable to the first quarter's rate.
 Our balance sheet remains strong. And our cash and marketable securities balance increased to $49.3 million at the end of the first quarter, compared to $43.6 million at the end of the first quarter of last year. Accounts receivable and inventories at the end of the first quarter were comparable to the same time last year in spite of higher sales.
 On March 31, 2014, dealer inventory and units were slightly higher than at this time last year. Also, order backlog is higher compared to the prior year, although it is slightly lower than at the end of the fourth quarter of 2013. We are comfortable with these levels of backlog and dealer inventories, although the prolonged winter weather has impacted retail sales in many parts of the country and caused dealer inventories to be slightly higher than normal.
 And with that, I'll turn it back over to Rick for a few closing remarks. 
Richard Hubbell: Well, thanks, Ben. We continue to be very proud with Robalo's growth and the success of some of the larger 2014 Chaparral models. Both of these trends benefited us in the first quarter of 2014, and our updated stylish Chaparral models help us maintain our #1 share in the sterndrive market.
 We also are pleased to be bringing our new Vortex jet boat to market and look forward to the benefits this new product should provide for our shareholders and dealers in the coming quarters. In the near term, however, we are concerned about the long winter weather in so many of our markets. We generated strong -- some strong interest during the winter boat show season. But as we enter the height of the retail selling season, many of our dealers report that their customers are holding off purchasing a boat until the weather improves. This situation is reflected in dealer inventories that are slightly higher than normal. We will continue to closely monitor field inventory, retail sales trends, dealer order flow and other indicators, and we'll adjust our production levels, if needed.
 I'd like to thank you for joining us this morning, and we'd be happy to take any questions you may have. 
Operator: [Operator Instructions] We'll first go to Jimmy Baker with B. Riley & Co. 
Jimmy Baker: The 5% decline in units shipped to dealers, can you just talk about how that compared to your expectations heading into the quarter? I know you had a relatively tough comparison with Q1 of '13, shipments increasing 12%. So just trying to understand how much of that softness in shipments was expected or planned versus you and your dealers pulling back in response to some weather-related softness in retail? 
Ben Palmer: This is Ben. I would say that it's close to our expectations. I think what we're looking at currently, as we talked about, is really with the prolonged winter weather and moving into the height of the retail season, what, if any, response do we need to have to our higher dealer inventories. So I wouldn't say that there was much impact on the first quarter. It's kind of more perspectively at this point what we're going to do. 
Jimmy Baker: Okay. So maybe to expand on that, you could just remind us or elaborate on the push-pull dynamic between you and your dealers and how responsive you can be at wholesale relative to what's going on at retail. Can you just talk about maybe your lead times today? Do you happen to know what -- roughly what percentage of your boats are built for dealer inventory versus per customer orders? 
Jim Landers: Jimmy, this is Jim. One quick answer to the last part of your question is that every boat that we build and ship has a home. It has a place that it's going, so we don't build for dealer inventories. That's the first thing to think about. I'm sorry, we don't build for our own inventory; it goes straight to the dealers. We -- many times a boat has been requested, so it's going straight to a retail customer. But a lot of times, we're just producing for the dealers' anticipated orders that season. We monitor dealer inventory very closely. We can change production pretty quickly. I mean, not on a daily basis, but certainly, we can plan a month ahead for production changes if we think that's advisable. 
Richard Hubbell: And I think because of the weather factors we saw that there have not been as many retail sold boats going through production as we have seen in the past, just because not as many boats sales were closed at the winter boat shows. 
Jimmy Baker: Right, okay. And then I know I've seen some of your competitors extend the boat show incentives or other promotions into the selling season. Are you seeing anything that's particularly aggressive out there?  And I mean, I guess to the extent that you can discuss this, can you talk about how responsive you're willing to be in terms of matching any increased promotional activity out there? And overall, how we should think about gross margins moving through the year relative to Q1? 
Ben Palmer: Incentives in the industry has been -- as you know, had been competitive for some time and it continues to be. We don't hear of any drastic -- significant amount or unusual amount of drastic discounting by manufacturers or the manufacturers at this point. Retail incentives, in general, I think, have been trending a little better overall. In terms of our incentive programs, we did extend our winter boat show program here into the retail season. That's  where we're trying to provide some assistance. But there's currently no plans -- immediate plans to accelerate that. With respect to margins, at current production levels, we feel like the margins should stay somewhat comparable. We like the model mix. We think the model mix, as far as we know at this point, will continue to be fairly comparable. We did benefit, as we indicated, from some operational efficiencies that we hope to maintain. Some of that is trying to control over time, some things like that. So we don't see any appreciable change in the gross margin as we look out today, given current production levels. But, of course, if we do adjust production levels up or down, it certainly will have an impact on the gross margin. 
Jimmy Baker: Okay, that's helpful. And then lastly, just switching over to the Vortex launch. Can you just talk about from a standpoint of signing up dealers where penetration is for that line, let's say, versus your existing dealer network or how the Vortex dealer count compares to your overall dealer count? And if you'd expect to continue to add Vortex dealers from here through the balance of 2014? 
Jim Landers: Jimmy, it's Jim. It's a little bit too early to say. When we introduced the boat, we had a lot -- we had, I think, 150 dealers come to see the first boat. Most of them were our current dealers, but there were some new dealers as well. It's a little bit too early to say what dealer penetration is going to be like. 
Ben Palmer: But we feel very good about it. I mean, the reception has been very, very good. And we'll know a lot more -- probably in the next 2 or 3 quarters, we'll know a lot more about who's actually taking them and what the attitude is. But overall, again, there's been no issue with having enough dealers sign up to be able to support future production levels. So we feel really, really good about that. 
Operator: [Operator Instructions] We'll next go to Joe Hovorka with Raymond James. 
Joseph Hovorka: A couple of quick questions. One, do you have the retail -- what your retail was in the first quarter? How much it was down? And then secondly, has there been -- have you seen an improvement yet in April? 
Jim Landers: Joe, this is Jim. We just don't have -- it's a good question. We just don't have retail -- our retail sales in front of us right now. And we don't have that nor do we have this fiscal survey's reports yet either for the first quarter. The Info-Link Bellwether Report came out the other day, which is interesting from a trend point of view, but doesn't give us any hard data about first quarter retail. 
Joseph Hovorka: The reason I asked you is your commentary sounds as if it may still be weak in April. I mean, do you have that much visibility yet? Or is it -- do you have the evidence that things have gotten better or maybe as weather has gotten better in certain areas? 
Jim Landers: Maybe, but -- I mean, Rick's comments were that it's still cold in a lot of parts of the country. There are lakes in the upper midwest that are still frozen. So that makes us cautious at this point, even into April. 
Ben Palmer: We believe it's better, but it's just not gaining the type of momentum, or the momentum is not where we would wanted to be at this point due to the continued cold weather. 
Joseph Hovorka: Okay. And you mentioned you're maintaining your share, is that through December? Or is that through -- when is that data through? 
Jim Landers: The data is through December. 
Richard Hubbell: December, okay. And was that a change through September or no? Have you maintained #1 position, but... 
Jim Landers: Yes, we've maintained the #1 position. And I think it rounds to the same number. So yes, the percentage [indiscernible]. 
Joseph Hovorka: So no gain, no loss, basically? 
Jim Landers: Correct. No gain, no loss, that's right. 
Joseph Hovorka: And then the last question, have you changed production recently at all or no? Like have you adjusted anything for this -- for maybe the slower start of the season? 
Ben Palmer: As of today, no. 
Joseph Hovorka: No, not yet? 
Ben Palmer: As of today, no. 
Operator: Next we'll go to Alexander Renker with Sidoti & Company. 
Alexander Renker: So the higher average selling price on model mix, I know you don't have retail data yet, but I'm wondering, is this -- is the shift to higher price models the result of dealers' expectations or has this been a trend in retail? 
Jim Landers: Alex, it's a result of our -- it's more a company-specific model mix issue. Specifically, we have a 31-foot Sportboat that's new for the 2014 model year. So when you compare to the first quarter last year, it has sold well and that's raised average selling prices. In the Chaparral H2O line, which is our value price model, we've sold, relatively speaking, more of the biggest of those boats, which are 21 feet. And Robalo's increased sales haven't hurt. They've actually helped as well. 
Ben Palmer: That's on the larger boats, too. I think there is a trend. I wouldn't say it's, again, super strong, but I think there has been a trend, there has been an improvement where the larger boats, I think, overall, are doing a little bit better, and we just -- I think we just hit the mark with some of our newer models. So there's both the pull-through demand on retail that is improving a little bit, and we've got some really good new products. So those things together are resulting in the improvement we've been able to generate. 
Operator: [Operator Instructions] And it looks like there are no further questions. So Mr. Landers, I'll turn it back over to you for any additional or closing remarks. 
Jim Landers: Yes, thank you. We appreciate people calling in to listen today. We appreciate the questions, and we will see all of you soon. Take care. 
Operator: That does conclude today's call. A replay of today's conference will be available at www.marineproductscorp.com in 2 hours. Thank you for your participation today.